Operator: Thank you for standing by, ladies and gentlemen, and welcome to the OTE Conference Call on the First Quarter 2013 Financial Results under IFRS. We have with us Mr. Michael Tsamaz, Chairman and CEO; Mr. Zacharias Piperidis, OTE Group Chief Operating Officer; Mr. Babis Mazarakis, OTE Group’s Chief Financial Officer; and Mr. Dimitrios Tzelepis, Head of Investor Relations. At this time, all participants are in a listen-only mode. There will be a presentation followed by a question-and-answer session. (Operator Instructions) I must advise you that this conference is being recorded today, Wednesday, May 8, 2013. We now pass the floor to Mr. Dimitrios Tzelepis. Please go ahead, sir.
Dimitrios Tzelepis - Head of Investor Relations: Thank you. Good afternoon, ladies and gentlemen, and good morning to the U.S. participants. I would like to welcome you to the OTE first quarter 2013 results conference call. During the conference, we will review the quarterly performance and we will also leave enough time to discuss any issues you may wish to cover. I remind you that any forward-looking statements we might make during this presentation or our answers to your questions are subject to the usual risks and uncertainties inherent in such situations. Let me now hand over the call to our CEO, Mr. Michael Tsamaz.
Michael Tsamaz - Chairman and Chief Executive Officer: Thank you, Dimitrios. Good morning or good afternoon to all of you. We are pleased to be with you to discuss the developments of the first quarter. We are prepared for some rough sailing in the beginning of this year. Well, our revenues paid off and organization responded well to the developments of the past months. Before handing the floor to Babis, you can go straight to the four major points that characterize the quarter. First, our Greek fixed line business has turned the corner and we are optimistic that this great momentum will continue. Second, across all countries where we operate, mobile has been (indiscernible) by sharpening the MTR cuts, but our units are preserving their strong market positions. Third, our cost-cutting actions, and particularly our payroll reduction statistics are paying off in the late August (indiscernible) or revenues. And fourth, we further reduced our debt and our continuing strong cash flow is complimented by successful asset disposals. This was illustrated again – once again after the quarter when we announced the sale of Globul and Germanos in Bulgaria. Let me rapidly go through these four points. In Greek fixed line, we are definitely feeling that things are going well. In the quarter, with less than 66,000 lines disconnected, we experienced one of the smallest quarterly losses over recent periods. In broadband, pickup was strong both for traditional ADSL and for our new VDSL service. A few weeks ago, we were recognized for our resilience in this area, given by a popular trade magazine given OTE its Greek ISP of the Year award. We also recorded a strong increase in TV subscriber numbers. It is important to remember that we are doing this in the midst of a severe economic crisis and a predictable regulatory environment, and I guess competitors who are deeply undercutting our prices. By the way, fixed line in Romania is also performing well as it steadily continues its shift from voice to new services. In the quarter, RomTelecom once again recorded good numbers in broadband activities. Turning now to my second point, in mobile, our total revenues in the quarter was down more than 15%. Total service revenues declined by €90 million compared to the first quarter of 2012. On this drop, approximately 6% directly reflects termination rate cuts. It is in Greece of course that the impact was felt most acutely. In the face of this decline and of particularly aggressive sometimes incoherent moves by our competitors, we continued to intensify our brand building efforts and invest in the quality of our networks and services. The similar – same magazine – in the same magazine poll, it awarded Cosmote mobile phone company of the year prize, recognizing our synergy coverage in virtually all of Greece and our advantage in 4G LTE. We continued to fight on all fronts, voice and data technology, customer service, and if provoked pricing to retain and strengthen our leading positions in mobile. The third point I want to make has to do with the fact that our cost cutting measures are producing the expected results. I would like to emphasize in particular the €30 million decline in group payroll compared to the same quarter of last year. This decline comes entirely from Greece fixed line and to a large extent is a result of the latest 1,500 people voluntary exit scheme. Effective head count and payroll reductions have played a key role in helping us maintain our group EBITDA margin essentially unchanged this quarter despite the total revenue decline. Before passing the floor last point, I would like to address a question we get on the disruption to the organization created by the early retirement programs. There have been instances where the departure of certain experienced workers has forced us to rebalance available resources, creating temporarily bottlenecks. But this is a very short-term issue that will be offset by increased flexibility and the addition of new skills better aligned to today’s technologies and to our customers’ needs. On a related note, we recently reached a groundbreaking agreement on working hours in all of our (facilities) in Greece, which will enable us to provide better color, better meet customer needs and optimize the use of our resources. Finally, on to my fourth and last point the reduction, as of March 31st, group net debt was just over €2.7 billion, down nearly €150 million in the quarter and almost €600 million from one year ago. Without taking into consideration the €208 million from the disposal of Hellas Sat, which is the asset (indiscernible) at 1.7 times EBITDA, which was our lowest net debt level in six years. Strong cash generation and the successful asset disposals explain these achievements. As you have seen the sale of Global Bulgaria for an enterprise value of €717 million will further reduce our net debt to a very sustainable level below €2 billion with a satisfactory maturity profile, in terms of debt reduction it provides, we are very pleased with the valuations we achieved through this transaction for all of our shareholders. Being in a much improved financial position, we will be able to focusing more intensely in our future, which means offering our customers our design footprint, products, services and attitudes they deserve. On this note, I will ask Babis to go over on our financials for the quarter. Babis, your turn.
Babis Mazarakis - Chief Financial Officer: Thank you, Michael and welcome to all of you. Before we dive into the financials, let me remind you that both quarters under review what is Q1 2013 and Q1 2012, consolidated Hellas Sat and Global show they are totally comparable. Group revenues were down more than 11% in the first quarter of this year. Once again termination rate cuts were far and away, the major factor behind this steep decline. Excluding the mobile termination cuts impact, OTE Group’s revenues would have declined by less than 7% in the quarter. In Greece, the mobile termination rates in the first quarter were one-fourth of its level in the first quarter of 2012, removing approximately €25 million from Cosmote’s service revenues. Apart from regulatory cuts, we did see a further worsening of economic conditions particularly in the Greek market and thus have an impact on our revenue. Many of the reductions – tax decisions and other government measure cuts, which were decided last year, really started hurting our consumer purchases across the board since the beginning of this year. For most consumers, this accelerated in the flight towards the cheapest options, when it didn’t mean cutting down some services altogether. Taking these factors into account, we believe that our rates of revenue growth are more moderate than those experienced in the relevant market segments. In the Greek fixed line, the revenues of OTE were down 11.8%, slightly improved versus the previous quarter. The decline in fixed mobile revenues further intensified in Q1, down more than 27% due to the mobile termination rate cuts, and international revenues also posted a big steep drop. Conversely, our revenues were resilient not only affected by the growth in TV and broadband. In the first quarter, we lost less than 56,000 lines and our competitors added 29,000 lines. The net loss for the total Greek fixed line market roughly in line with the previous quarter comforts our view that the overall market is contracting at a slower pace and thus conditions are gradually stabilizing. Similar comparison I shall not name, who was particularly aggressive in the beginning of the year, offering fixed mobile at fixed-to-fixed rates generated the vast majority of the net – added new additions in the market. We don’t view these as financially viable and sustainable. Once again, we focused on customer service and quality as key differentiators and (indiscernible) prove that the market is generating. As in the second quarter of last year, our broadband performance was strong. In the first quarter, we added almost 31,000 broadband subscribers outperforming the market. We achieved a 50% share of market net additions. As you remember, we lost our VDSL offer that speeds of up to 50 Mbps in November and have 6,000 installed VDSL connections by December 31. At March 31, we have reached 20,000 VDSL subscribers, a number which we are pretty close to capacity given current availability. Now, we are waiting for the regulator to give us permission to offer our commercial VDSL propositions to additional areas in the country, where we have already invested in the related infrastructure. In the TV services, we added just short of 70,000 subscribers during the quarter. The pace of subscriber acquisition has been building up quarter versus quarter, and this represents a huge increase over the previous quarter, which had already established records. The number of IPTV subscribers has been stable for a while now. We saw the growth coming from our new satellite TV offering. We are cautiously improving our TV offering both in terms of quality and reliability and by providing richer and richer content, which will continue to boost our market share. All-in-all, we are confident that we are gaining traction in Greek fixed line. Let’s now turn briefly to RomTelecom. Group revenues were down 9% this quarter, once again impacted by a sharp 24% decline in wholesale revenues due to the termination rate cuts. Retail revenues for late March were down less than 6% as (indiscernible) and lower ARPU invoice are partly offset by higher revenues in broadband, particularly in TV. The Romanian market remains extremely competitive putting significant pressure on broadband ARPU. As a large part of the revenue decline in the quarter was attributable to its wholesales activities, RomTelecom once again this quarter was able to bolster its EBITDA margin by almost two percentage points despite (indiscernible) sales. In mobile that we recorded the bulk of our revenue decrease this quarter with a much steeper drop than in prior quarters over 15%. Total service revenues across our four countries were down about €90 million in the quarter or more than 17%. Of this €90 million drop, 60% come from mobile termination rate cuts. It is not possible of course to absorb a decline of this magnitude. Under these circumstances, we are relatively satisfied with a limited decline in profitability we experienced this quarter. In Greece, Cosmote’s revenues were down nearly 18% in the quarter with service revenues down more than 19%. Of the almost €62 million in service revenues lost in the quarter 25 of them – €25 million of them is due to the mobile termination rate cuts. ARPU was also down sharply in the quarter primarily in prepaid. The austerity measures are fully activated in the country impacting a lot of people and we as well as our competitors are seeing the record migration from postpaid to prepaid as well as consumers choosing cheaper packages and SIM-only options. Finally, revenues came under pressure from some competitive moves that we have to react to though we did selectively and with moderation. On the positive side, we recorded double-digit growth in mobile data and handsets. Our 4G LTE network now covers many metropolitan areas as well as winter resorts and we are expanding it to summer sports in time for the vacation season. Traffic and core customer numbers are up and Cosmote is definitely leading Greek market in the data area with positive effects on our image for quality and customer care. It also has a positive impact on our sales of handsets as smartphones now account for more than half of our sell out. With continuing pressure on top line, we are taking aggressive measures to contain costs notably related to marketing and distribution at Cosmote in Greece. The combined revenue from our international mobile operations were down 11% in Q1 2013, but Cosmote Romania experienced a smallest service revenue decrease of our mobile operations of just over 9%, in line with the fourth quarter of last year. We estimate that excluding the impact of mobile termination rate cuts implemented last year, revenues would have increased by about 3% in the quarter. Cosmote Romania did see impressive customer growth in the segments of the market that it is targeting primarily postpaid, business customers, and 3G users. In Bulgaria, the drop in Global service revenues were also roughly identical to the previous quarter, up over 20% and also due to termination rate cuts notably another round implemented on the first day of the year. Higher sales of handsets in the Greece smartphone penetration led to a more moderate rate of decline to the revenues. Finally in Albania, AMC’s revenues were down 15% in the quarter, with service revenues down by 14% despite solid growth in data revenues. Other group revenues were down more than 11% in the first quarter to €94 million, reflecting lower revenues of the debt load level mainly related to inter-company transactions with limited impact on consolidated top line performance. Let’s take a look at our – the rest of our P&L and that one we have shutdown to contain the impact of the decline in revenues on our other lines. So, while some of the revenues for the quarter were down nearly €175 million from the first quarter of 2012, the group’s pro forma EBITDA was down less – about €50 million. This was achieved largely through savings of €20 million in staff costs and €6 million in other OpEx. Charges from operators for the impact was down €77 million with nearly 80% of that amount due to the cuts in the mobile termination rates. Cost of equipment was also down €8 million due to efforts for the optimization of the business model. As a result, the group’s pro forma EBITDA margins stood at 35.4% in the quarter, almost unchanged from the quarter one 2012 level. EBITDA performance was particularly impressive in Greek fixed line dropping just 3% while revenues were down almost 12%. As a result, EBITDA margin in the Greek fixed line was up by 320 basis points to 75.3%. In the first quarter, total group expenses excluding depreciation, amortization and one-offs were down more than €80 million or about 10.6%, similar to the rates of group cost reductions achieved in the last two quarters of last year. In Greek fixed line, total expenses excluding depreciation, amortization and one-offs were down an impressive 15.4%, largely reflecting a €30 million drop in personnel expenses, down 21% as a result of the December voluntary exit scheme. The drop in other operating expenses was 2% in the quarter despite the increased cost for TV content and utilities. After the exceptional decline in depreciation and amortization in the first quarter due to RomTelecom’s prior year impairment charge, depreciation and amortization returned to a more moderate 4% dip in the first quarter of this year. Interest expenses stood at €71 million, and was literally unchanged from the prior year level while it includes approximately €3 million of expenses related to the recent bond buybacks. Net capital gains in the quarter amounted to €69 million due to the sale of Hellas Sat, whereas last year we had recorded net gains of €225 million reflecting the sale of our stake in Telekom Serbia. On taxes reflecting the re-measurement of the group’s deferred tax position to account for the higher nominal tax rate in Greece, OTE recorded a €50 million tax benefit in the quarter. As a result instead of an income tax expense, the P&L shows €25 million tax income in Q1. All told, net income attributable to OTE was €268 million as compared to €380 million in the first quarter of last year. The group’s underlying net debt was reduced by another €146 million in the quarter, down to €2.7 billion. As a result, our net debt to EBITDA ratio stood at 1.7 times and is the lowest it’s been since 2007 and quite an achievement under the challenging circumstances. Our cash position at the end of the quarter was €1.4 billion, while the €208 million received from disposal of an asset in the beginning of April were not yet included on the reported cash and net debt figures. The sale of Globul, which is expected to be completed in the next two to three months, would enable us to further improve this in face of future risk covenants. Net operating cash flow, excluding voluntary exit programs, payment was up more than 7% in the quarter to €261 million. Once again, the improvement relatively stems from the slight reduction in our working capital needs while we continued to improve the management of both receivables and payables. CapEx was down more than 15% in the first quarter to below €117 million or almost 10% of sales, namely 9.8%. In addition to negotiating the sale of Globul, we have had busy refinancing schedule since the beginning of the year. This included the exchange of €187 million in August 2013 notes for new notes maturing in February 2015 consolidated with our existing €600 million note issue maturing on the same date, i.e., February of 2015. Also we issued €700 million in fixed rate notes maturing in February 2018 and repurchased part of our August 2013 and 2014 notes reducing the nominal amount of these two issues to €714 million and €382 million respectively. Finally, we repaid the €400 million portion of our €900 million revolving credit facility that hadn’t been extended. So, this concludes what I wanted to share with you – and in order to make our Q&A session more productive. Michael, Zach, and myself are now ready to answer few questions. Operator?
Operator: Thank you. (Operator Instructions) Your first question comes from Dimitri Kallianiotis from Citi. Please ask your question.
Dimitri Kallianiotis - Citi: Good afternoon. Thank you for taking my question. I have three questions please. The first one is on the service revenues in Greece, which obviously are getting worse down 19%. I wanted to ask you in terms of understand the MTR impact that are more on the increased competition, I mean in the past, you have tended to immediately match in any new offers launched by your competitors. It seems now you are willing to leave them some breathing space and so maybe willing to lose a little bit of market share. I just wanted to know what if we should expect you to react more aggressively to anymore price competition from your competitors in mobile in Greece? And my second question was just coming back to a point raised by Babis during the call on extending the rollout of VDSL in Greece, I just wanted to ask you exactly what – I mean basically why you need an approval or what you need to get this approval and what sort of network coverage you will get on VDSL once you get this approval? And my last question is regarding some – if I understand correctly, from mid-May you have got all the collective labor agreements in Greece will no longer be in effect. And I just wanted to ask you what sort of impact we should expect for OTE? Is there any upside and if you could maybe help us quantify that impact? Thank you very much.
Babis Mazarakis: Regarding your first question on the impact of MTS on the service revenue decline, we estimate that it’s slightly above a third of the decline. So, it’s close to 55% of the total decline. With regards to our reaction to the competitive movements, first of all, I would like to stress that it’s not the first time that we have seen these kind of movements in this market and we have proved in the past that at the end we have the way, let’s say, to have the best level of performance in the market. So, this doesn’t mean that we fully match our competitors’ offers, but definitely we have to make the moves that will ensure our long-term profitability and our position in the market. So, we are not giving space and we are not – we do not intend, let’s say, to give space to them. It’s not a matter of breaking us all, but it has to do also with our P&L and our numbers, and our competitiveness.
Michael Tsamaz: I will answer the following two questions, the one regarding the VDSL and the commission (indiscernible) figure. As we have discussed in the past, again, I will not go on and criticizing regulators actions. However, what I can tell you is that it’s been quite some time now, quite a few months now that we have already invested and have the impacts already, meaning the VDSL in more than 1,000 cabins and which means that approximately assuming that each cabin handles 200 customers – 200, let’s say telephone users, not only OTE customers, but the competitors. So, we can say that there is VDSL waiting to address approximately 200,000 customers, which potentially could have had the VDSL or higher speeds of broadband. And this cannot be realized because we are waiting for the regulators approval to permit us to offer this commercial – this service to reach customers. Now, why this happens, many reasons to explain and many ways we discussed in the past. It has to do with the actions of the regulators. Regarding the collective labor agreement, what I would like to mention is that as we have said in the past, we have been facing a very turbulent environment. But despite these problems in the environment, this turbulence of the environment, we have managed to reduce our personnel costs in the Greek fixed line by approximately 24% or by approximately €170 million over the past two years. This does not include the additional annual €80 million net savings from the recent voluntary exit scheme, which has positively impacted our financial results from the beginning of 2013, while at the same time securing uninterrupted operation of the company. This means that we have managed to reduce the headcount and personnel costs without any abstraction whatsoever in our day-to-day business. For instance, due to the less – slight price as to the case that have been in the past. So, what is very important around this is that we did saw, we managed to achieve these results in a very socially responsible way with employees’ well-being in mind in the given difficult environment. Evidence of this is how well accepted our voluntary retirement schemes have been. Now regarding the recent development in the labor legislation, yes collective agreements in Greece were ended bylaw on February 15 – February 14, 2013. Given the three months after effect of on the (indiscernible) as we say Greek, we will cease – any agreement we will cease to be valid as of the May 14th and on. In OTE, however, in 2011, we came to an agreement with the Unions by which the periods 2012 to 2014 salaries are reduced by approximately 11%, work time adjusted to six, five hours per week, while the company ensures the employment of best personnel. So, despite there is law OTE does not have any reason to change or to alter the rights of the employees. So, in other words, OTE will honor its side of the current collective agreements and will not alter wages for the period of our collective agreement is in effect or at least up to the end of 2014. We will also maintain specific institutional provisions that have existed in our collective agreements such as special targets, group personal insurance, youth accounts etcetera. So, in other words, we will not touch, let’s say, or we don’t have any plans to alter anything on the rights of the collective agreements. There will be only some minor changes, which do not have any immediate impact on employees. And this has to do – these changes are related to the disciplinary processes and the transferring policies, which date back to the period of OTE, it was a state owned monopoly and are not suitable for a 21st century company. In other words these two, let’s say, rules will come to be closer to convert our policies to the mobile units’ policies. So, all-in-all, we’ll approach this new law regarding collective agreements in a responsible way while ensuring that we move forward as planned with the best transformation to modern company. Let’s just say here that the dialogue with the Unions is based on the understanding from both sides that OTE needs to become up-to-date. We have achieved a lot so far. I believe that this level of mutual understanding will continue – will further continue and as we have more to achieve. I am very confident that this is recognized also by the employees. And so far we are in very good terms with them, respecting also what they have contributed to the company.
Dimitri Kallianiotis - Citi: Thank you. Just on the, regarding the regulators, if I may just ask. Has the regulators given you a deadline by which they will come back to you to let you know when you can extend the offers on VDSL? Thank you.
Michael Tsamaz: Yeah, we are going through the six-month period the regulator has imposed on us, but it’s absurd. We are ready, we have an investment. We could offer the service long time ago and we are waiting for the regulator to approve. Basically what the regulator wants to do either to try to find ways to increase our prices or the prices of the traditional ADSL broadband offering or delay us, because the competitors cannot really compete or cannot really invest. So, who is benefiting from these delays? Not the customers, definitely.
Dimitri Kallianiotis - Citi: Okay, thank you. Very clear.
Michael Tsamaz: Welcome.
Operator: Your next question comes from Michael Murphy from Millennium Capital Partners. Please ask your question.
Michael Murphy - Millennium Capital Partners: Good afternoon, gentlemen. Mike Murphy here. Could you just please confirm what your pro forma leverage is now post the Globul disposal? And secondly, could you just remind us to what date you consider yourselves now fully funded and not reliant on any further credits? And finally, given the improvements in Greece and your own credit profile, have you had any discussions with the rating agencies about potential upgrades? Thank you.
Babis Mazarakis: Okay. Let me take your first question. If we include the process from Hellas Sat and Globul, then our net debt will approach the level of €2 billion. And if we (indiscernible) ratio against EBITDA, that would be close to €1.25 billion, maybe around €1.3 billion. So, as I said the proceeds from Hellas Sat that have already been received in April while the proceeds from Global, still we are in the closing period are expected to be received somewhere in the middle of the summer. Given this level of debt and also predominantly given the robustness of our ability to generate healthy free cash flow, now we will consider ourselves at very well positioned against our ability to meet the future deadlines of our maturities. So, this is not – while it was a major issue in the previous quarters, now we can say that this has been adequately addressed and the focus now is mostly on cash back to the operations and to – how to remain competitive in a very difficult environment. Regarding the rating agencies, certainly, we do believe that our metrics resemble an investment grade authorization. However, the rating agencies have their own belief and formulas, which restrict their opinion by the fact that our homeland is Greece. So, it’s a matter that we can’t really do much other than clearly demonstrate that we deliver on our promises as we have done, and the fact that no matter how you measure the metrics of the item, cash flow generation, clearly this is – as we believe that OTE Group is an investment grade business.
Michael Murphy - Millennium Capital Partners: Thank you very much.
Operator: Thank you.
Michael Tsamaz: Can we go to next question?
Operator: Your next question comes from Stanley Martinez of Legal & General Invest. Please ask your question.
Stanley Martinez - Legal & General Invest: Good afternoon, everyone, and thank you for taking my question. First on the Greek fixed line, although you don’t normally break out profitability within segment, could you provide some approximation for how much dilution in pro forma EBITDA the 29,300 OTE TV subscribers had in Q1. And then my second question is following up on Michael’s with respect to OTE’s liquidity position, which is now very solid. Have you – are there any, Babis objectives that you might have with respect to shaping the debt portfolio tactically perhaps extending the duration of your bank facility or looking at other opportunities to push out tenders, buying shorter debt and issuing longer. And then maybe one last part of the question, if I could, for Michael, do you feel now that based on the liquidity position that you have, the solid balance sheet, what is your view and what is the Board’s view in terms of potentially looking at adopting a modest, but sustainable dividend distribution. Is that still too politically sensitive or would it require consensus from certain bondholders or would you just prefer to retain that flexibility to invest in growth in the core business?
Michael Tsamaz: Thank you for the questions. Let me take your second question first, which addresses the liquidity position and the profiling of debt. I think that this exercise of re-profiling never ends. We are vigilant in the market as we have demonstrated and any opportunity that can further re-profile to the longer – our debt maturities and of course preserving at the right cost is something that we always pursue. The difference from the past is that now we are pretty much relaxed in doing this. And we want to remain in the market and if the markets offer a very good window or a very good opportunity, certainly we will consider that. So, there is no any rush to do things now, but certainly any opportunities now would be much more welcome. Jumping into the question about dividends, I must say that for 2012, from the fiscal year 2012, decisions have been made, and now we are looking forward. And regarding the option of resuming the dividend payments that will start of course by distributing the – any profits that will be generated in 2013. So, we are talking distributing dividends, paying dividends in 2014 onwards. That’s a bit too early to discuss and we can conclude right now. As the business custom, it’s taking the board early each year. Now, I have to say here that the reason that we ceased dividends in the past three years was because we had to navigate through a very difficult environment. We have held our cash positions. Since the macro crisis in Greece coincided with a very steep debt maturity that we had to honor at that time, so therefore what we can say now is that we are evaluating the issue and the topic, and the decision will be made once we go closer to the day that we need to make a decision. So, we need to monitor how the year will go. Let me also remind here that the effective way of receiving dividends is – for OTE Group is out of profitable position of OTE SA and that needs to be monitored and follow the economy in the course of the year. So, there is no the market, yes or no, just the conditions would be evaluated and we will reach the conclusion as we go ahead in the year.
Stanley Martinez - Legal & General Invest: Okay. So, Babis, that sounds like it’s more of an investigation that the board will conduct at the conclusion of fiscal ‘13, so possibly March of 2014 you might look at OTE SA’s distributable reserves and make a determination at that point. So, it’s simply a timing issue, is that right?
Babis Mazarakis: Yes, yes, that’s the first, let’s say, milestone in terms of logical line that we would have to conclude whether we resume the dividend payments or not.
Stanley Martinez - Legal & General Invest: Okay, great.
Babis Mazarakis: Now, to your first questions, I suggest that in order to be able to give a much more complete proposal, Dimitrios will come back with – on an offline basis to give you some information about the specific metrics that you asked, if that’s okay with you.
Stanley Martinez - Legal & General Invest: No, no, no, that’s quite fine. Okay, thanks very much.
Michael Tsamaz: Thank you.
Babis Mazarakis: Thank you.
Operator: Thank you. (Operator Instructions) You have a question from the line of Stam Draziotis of Eurobank Equities. Please ask your question.
Stam Draziotis - Eurobank Equities: Yes, hi there. Could I just ask about your cost saving efforts at Greek fixed? If you can maybe help us understand a bit the extent to which you can tackle your cost base? I mean, aside from the personnel costs, any sort of areas where you believe there is still much fat to cut?
Babis Mazarakis: Certainly, the payroll area, as you said, was reading the part in the past quarters. But if we realize the numbers, we see that there are also other lines we have reduced the costs. And I am referring to things like maintenance cost and cost from our equipment and also some other lines have gone up because of markets that we don’t control like the increase in the monopoly power supply. And of course there is an increase in the cost of – the content cost for TV since this goes ahead along with the increase in the revenues. I must say here that the effort for cost-cutting is not over even the payroll cost as it was described before by Michael. And also the synergies from combining procurement efforts, for example, across the group not only Greece but also with Romania is something that also is and will contribute to the cost savings. So, you should expect to see improvement in not only in the payroll line, but also in the other lines and some of this improvement is already there.
Stam Draziotis - Eurobank Equities: Okay, thanks very much.
Babis Mazarakis: Thank you.
Operator: Thank you. There appear to be no further questions on the line. Please continue.
Dimitrios Tzelepis - Head of Investor Relations: Thank you for your participation and have a nice day. Good bye.
Babis Mazarakis - Chief Financial Officer: Thank you.
Michael Tsamaz - Chairman and Chief Executive Officer: Thank you.
Operator: Thank you. That does conclude our conference for today. Thank you all for participating. You may now all disconnect.